Operator: Good day, and welcome to the Sigma Additive Solutions Second Quarter 2022 Financial Results Conference Call and Webcast. Today's conference is being recorded. At this time, I would like to turn the conference over to Chris Tyson, Executive Vice President of MZ North America. Please go ahead, sir.
Chris Tyson: Thank you, and good morning. I'd like to thank you all for taking time to join us for Sigma Additive Solutions Second Quarter 2022 Business Update and Results Conference Call. Your host today are Jacob Brunsberg, Chief Executive Officer; and Frank Orzechowski, the Company's Chief Financial Officer. A press release detailing these results crossed the wires this morning at 8 a.m. Eastern today and is available on the company's website, sigmaadditive.com. Before we begin the formal presentation, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company's SEC filings for a list of associated risks, and we would also refer you to the company's website for more supporting industry information. At this time, I would like to turn the call over to Sigma Additive's Chief Executive Officer, Jacob Brunsberg. Jacob, the floor is yours.
Jacob Brunsberg: Thank you, Chris. Good morning, and thank you, everybody, for joining us today. Q2 0022 marks my first full quarter serving as President and CEO at Sigma. And I'm excited to share with you the progress our team has made in transforming the business to a scalable software solution and quality standard for the additive industry. To help everyone get a clear understanding of the progress we are making and the opportunity that we have, I've divided my remarks into 3 discrete segments. First, results and how we're building the foundation and growth and profitability with our new business plan. Secondly, zooming out on the additive market trends and updates, why additive manufacturing is just now growing into its potential and how that motivates us to wake up every day with definitive purpose at Sigma. And finally, after Frank's discussion of the financials, I'll discuss the key performance indicators we are monitoring as we execute our business plan with highlights of how OEM partners fit into this in more detail. On results, I'm pleased to report that we are making progress that the business is starting to move from the sale of a few expensive perpetual license, hardware and software systems each quarter, to building software-only solutions that augment and add to our subscription-based reoccurring revenue stream. There is certainly still work to do, but we believe this is setting the foundation to allow partners and OEMs to leverage our background IP with our current software solutions, putting us in a position to have PrintRite3D installed on thousands of production printers. The second quarter of 2022 was critical in laying the groundwork for our business. Some noted updates. Revenue grew quarter-over-quarter, tracking with the implementation of our business plan. A backlog and subscription revenue tail is starting to emerge for the business. Increased additions of OEM and software partners with a growing pipeline of OEM and software and hardware opportunities in the future, solid sales pipeline growth and shortened deal cycle closing times. We feel our move to subscription-based model and new product road maps are starting to be seen in the results. As we have mentioned on our last earnings call, the move to incorporate a subscription model does, in fact, change our revenue recognition from our prior immediate onetime model. So the business is different than it was a year earlier. That said, we believe this will and is already resulting in reoccurring and potentially more stable, predictable long-term cash flow over time. The subscription model also lowers the barrier to entry for customers and their subsequent scale to enterprise solutions, allows us to connect to other software solutions in the market more easily and has paved the way for our move towards more software-only solutions through product expansion and embedded and tiered OEM solutions that can yield higher margin product. I want to take a quick second to talk about that last bullet item on product expansion. We believe this is the crux of our transition, and this will allow us to scale into production across large enterprises with large production installations. As mentioned prior, PrintRite3D in its current state of hardware plus software is a great comprehensive platform for universities, research organizations and internal R&D groups of the most sophisticated industries. However, to set the standard for quality, we need to own the production segment of the market where the economics and quite frankly, the requirements are a bit different. In Q2, we formalized our product counsel to guide our software to scalable production solutions. We are doing this by providing our current technology at discounted rates to product council members, while giving them access and influence to fulfilling the needs of an enterprise and skilled manufacturing solution. We are adding a diverse group of skilled users that will help ensure we are addressing the market requirements to create a quality standard. More to come on who some of these companies are in Q3 and Q4. As part of this work, we are preparing to announce new products that will combine streaming machine health data from major OEMs and off-access camera data, image and thermal and on-access melt pool technology to provide a centralized home for the industry in process quality solutions. We believe that these new products and with the guidance of our product counsel, OEMs and software partners, Sigma Additive Solutions will be at the center of quality and connection to any point solution for quality and in the marketplace. We believe the connected and open data we are creating will allow users to simplify their quality operations, identify gross defects, utilize machine learning and AI platforms and drastically improve total cost of development and production. Additionally, this gives customers in the market onboarding options for lower dollar solutions as they grow into what we are developing as the quality standard for additive manufacturing. The focus here is getting Sigma quality products in the hands of every single additive user, resulting in improved additive operations and the acceleration of additive implementation and scale at each of their respective companies. As we continue to innovate, we continue a very active program to sector our IP. With 10 additional granted patents and 2 more in progress in 2022, we now have 25 granted patents and 37 in progress, covering our core and expanding IP portfolio. This is a key step and this work is putting us in a good position to work with OEMs in the marketplace. Now the additive market. Sigma, in retrospect, was very early with PrintRite3D and the industry lack maturity standards and best practices. And quite frankly, the printer manufacturers employed a closed system strategy and threatened to terminate our customer warranties as they deployed third-party hardware components like Sigma's entrepreneurs. Today, we believe that the timing could not be better for us as we enter the era of cooperation, opening systems and focus on the development of standards. Let's review a few industry data points that show additive growth and scale is becoming more inevitable today than ever before. 3D printing is actively changing the way the world manufactures, enabling products to come to life that we've never seen before. I'll start with Relativity Space, which builds 3D printed rockets and was most recently valued at $4.2 billion last year. Relativity CEO, Tim Ellis, in an interview with TechCrunch like in 3D printing to a paradigm shift in manufacturing and "I think really the thing people haven't gotten about our approach or 3D printing in general, is it actually more like transitioning from gas internal combustion engines to electric or on-premise services to cloud" Ellis said. 3D printing is a cool technology, but more than that, it's actually software and data-driven manufacturing and automation technology. 3D printing is at the core of growing rocket engine business. It's allowing a 32-year-old to compete with the likes of Jeff Bezos and Elon Musk. And as of July 19, Relativity more than $1.2 billion in backlog, multi-launch service agreements. July 2, the New York Time has followed this by publishing a piece called 3D printing grows beyond its novelty routes. With the technology improving and costs falling, 3D printing could be poised to play a major role in manufacturing. In this article they highlight a company called VulcanForms, a start-up that came out of MIT that has recently raised $355 million in venture funding for its technology that said to now generate 100x the laser energy of most 3D printers and can produce parts many times faster. The article goes on to say 3D printing also called additive manufacturing is no longer a novelty technology for a few consumer or industrial products or for making prototype design concepts. And "it is now a technology that is becoming -- that is beginning to deliver industrial-grade product quality and printing in volume" said Joerg Bromberger, a manufacturing expert at McKinsey. Finally, additive has officially become a formal initiative in the U.S. with President Biden announcing the AM Forward initiative in May. The Biden administration is looking to 3D printing to lead a resurgence of American manufacturing. Additive technology will be one of the foundations of modern manufacturing in the 21st century, along with robotics and artificial intelligence, said Elisabeth Reynolds, Special Assistant to the President for Manufacturing and Economic Development. The initial references using additive manufacturing to improve supply chain resilience and bolster small and midsized firms and can be found on whitehouse.gov. We, at Sigma Additive Solutions wake up every day with the purpose to help accelerate this additive adoption through setting scalable quality and analytics platforms for the industry. We believe we are in the right place at the right time and have a tremendous opportunity to leverage our deep understanding of the additive process across all major industrial 3D printers, from any major OEM like SLM, EOS, GE, 3D Systems, Additive Industries, DMG and beyond. Major processes, Powder Bed Fusion, DED and all materials, polymer metal, composite and beyond and across current and upcoming technologies with the ones referenced above. Now I'll have Frank review the financials, and I will close with details on the key performance indicators that make up our foundation and provide a basis that we will be judging ourselves by to get to our 2025 and beyond goals to truly take a seat as the standard for quality in additive manufacturing. Frank?
Frank Orzechowski: Thank you, Jacob. Our detailed financial results are contained in our Form 10-Q filed with the SEC this morning, and the press release we issued contains key highlights of our financial results. So this morning, I will provide a brief overview of our results for the second quarter of 2022. I think that it's important to note that the comparisons to past results should be analyzed in the context of our business shift in 2022. We are moving away from selling expensive perpetual licenses for PrintRite3D, an integrated hardware and software platform in which most of the cost comes from physical hardware to setting up for a future software-only subscription model with a potential for much higher margins. The business transition will continue through 2022, and Jacob and I will provide context where applicable to better note transition items. Revenue for the second quarter of 2022 totaled $237,000. This compares to revenues of $144,000 for the second quarter of 2021. The increase is due to increased unit sales of our PrintRite3D systems, revenue from subscription sales, revenue from installations related to prior year sales and increased annual maintenance contract renewals. Our gross profit for the second quarter of 2022 was $44,000. This compares to a gross profit of $28,000 for the second quarter of 2021. The gross margin of 18% in the quarter is largely reflective of the strategy shift of the company as we grow our customer base and a model more in line with the scalable software-only enterprise solution, which is currently in development. As I mentioned, in the current form of PrintRite3D, the majority of the cost resides with the physical hardware. The work we have already done to reduce this hardware and associated manufacturing costs has allowed us to move quicker to align pricing with market needs, which includes aligning with key product council members, pricing for scalable subscription models and more aggressive pricing for research university programs to increase collaboration and train next-generation engineers in our technology. Additional cost in the second quarter was incurred in travel and installation and support costs from prior year sales. Our gross margin for the 6 months ended June 30, 2022 was $55,000 or 19% as compared to a gross profit of $358,000 or 59% of revenue for the same period in 2021. Again, this was expected in the short term as we transition our business model to a higher-margin subscription-based software-only product. Total operating expenses for the second quarter of 2022 were $2.28 million, while operating expenses for the second quarter of 2021 totaled $2.17 million, an increase of $109,000 or 5%. Salaries and benefits were $1.18 million for the quarter, an increase of $200,000 over the second quarter of 2021, largely as a result of 2022 salary increases and associated taxes for existing employees, new hires within the last year and severance costs. Partially offsetting these increases was a decrease in stock depreciation rights expense due to the second quarter revaluation. Stock-based compensation was $167,000 for the 3 months ended June 30, 2022, as compared to $116,000 for the same period in 2021, $51,000 or 44% increase. This increase is primarily due to the expense related to options awarded to new employees and the expense for annual option grants awarded to employees in the third quarter of 2021. Our operations and research and development expenditures of $147,000 were incurred during the 3 months ended June 30, 2022 compared to $281,000 in the same period of 2021, $134,000 [Technical Difficulty] the decrease is primarily attributable to a decrease in operations costs of $61,000 and a decrease in R&D expenses of $73,000. The decrease in operations costs is largely due to an inventory obsolescence charge taken in the second quarter of 2021, together with expenses associated with purchases of lab supplies in that quarter. The decrease in R&D expense is primarily due to an expense incurred in connection in the second quarter of 2021 for a simulation project and research and development efforts related to parts upgrades for our 3D PrintRite platform. Investor public relations and advertising costs for the second quarter totaled $152,000 as compared to $115,000 for the second quarter of 2021. This increase of $38,000 or 33% is primarily due to an increase in trade show expenses resulting from the lifting of COVID-19 travel restrictions. Organization costs for the 3 months ended June 30, 2022, totaled $61,000 as compared to $159,000 for the same period in 2021. This decrease of $98,000 or 62% is largely due to a decrease in shareholder services in 2022 as we had an additional shareholder meeting in 2021 as well as a net decrease in nonemployee director compensation. Legal and professional fees incurred during the 3 months ended June 30, 2022, were $145,000 compared to $244,000 incurred during the same period in 2021. The decrease is primarily due to a decrease in legal expense reflective of the additional shareholder meeting in 2021 as well as fewer regulatory filings in 2022 and a decrease in recruiting costs resulting from fewer new hires in 2022. Our office expenses totaled $304,000 for the quarter as compared to $152,000 for the second quarter of 2021. The increase of $152,000 is primarily due to an increase in travel expenses as a result of the lifting of COVID-19 travel restrictions and expenses incurred with a company-wide global in-person meeting held during the second quarter of 2022. Other expense for the 3 months ended June 30, 2022, was $11,000 as compared to other income of $295,000 in the second quarter of 2021. This decrease of $306,000 resulted primarily from a $290,000 gain in the second quarter of 2021 on the revaluation of the derivative liability from our March 2021 financing and a foreign exchange loss of $10,000 in the second quarter of 2022 due to the strengthening of the U.S. dollar versus the euro. Net loss applicable to common stockholders for the second quarter of 2022 was $2.3 million or $0.22 per share as compared to a net loss of $1.9 million or $0.18 per share in the second quarter of 2021. Cash used in operating activities for the 6 months ended June 30, 2022, totaled $4.3 million compared to $3.3 million in the second quarter ended June 30, 2021. This increase in cash usage of $1 million is primarily a result of an increase in the net loss adjusted for noncash expenses of $860,000 and decreases in accounts payable and accrued expenses of $511,000. Partially offsetting the increases were decreases in accounts receivable of $178,000, inventory purchases of $114,000 and prepaid expenses of $34,000. Our cash balance totaled $6.9 million at June 30, 2022, as compared to $11.4 million at December 31, 2021. Working capital totaled $7.5 million at June 30, 2022, as compared to $11.7 million at December 31, 2021. As of June 30, 2022, our stockholders' equity was $8.8 million as compared to $13.8 million at December 31, 2021. Finally, I'd like to remind all of our shareholders that our Annual Meeting is next Tuesday, August 9 at 12:00 p.m. Eastern Time. If you have not already voted, we ask you to do so, and we appreciate your support. And with that, I will now turn the call back over to Jacob.
Jacob Brunsberg: Thanks, Frank. I'll provide some further color on the financials via the key performance indicators we are tracking to monitor the progress and execution of our business plan because I think it's important to put things into context. So as we track these KPIs, there are 5 items that we're paying very close attention to. The first is revenue growth; second, order backlog; third, pipeline growth; fourth, deal closure time reduction; and fifth, partner expansion. These are the KPIs we see as critical to achieving our business plan over the next 2 years. To be clear, we are focused on moving away from only selling an individual printer solution to supporting the additive industry as a whole at scale. So let's dive into the results. Since implementation of our new business model in Q1 of this year, revenue is beginning to show growth aligned with the feedback we are getting from the market and our product adjustments and approach are better aligning with customer needs. Revenue went from $51,800 in Q1 to $237,000 in Q2, a 78% increase. I know this is not a revolutionary number from a total revenue perspective yet. But again, tracking with the implementation of our new business model, we're showing progress. To add further color, our revenue tail is beginning to develop that will help us increase our foundational level and begin to make a revenue -- begin to make revenue more predictable over time. The current backlog of orders for the third quarter is a total revenue of $240,000, which consists of a mix of subscriptions and perpetual sales. Additionally, the remaining revenue to be recognized related to year-to-date 2022 transactions is approximately $30,000. So now I want to dive in a little bit to what we're seeing from a pipeline growth perspective. We had solid pipeline growth quarter-over-quarter and especially as we compare with our last year numbers. We saw an increase of total qualified opportunities from 134 in the second half of 2021 to 250 in the first half of 2022. To expand on pipeline growth, we saw an increase in forecasted deals for closure from 19 deals to 40 or almost a 2x increase from the second half of 2021 to the first half of 2022. Lastly, we are leading the industry where each customer is at. We believe that the laser focus on the customer has allowed us to increase our market penetration and most importantly, decrease deal cycle closing time. With the adjustments in our strategy in first half of 2022, we are seeing sales cycle move from a prior range of 12 to 18 months down to an average of 6 months over the last 9 years. This is continued progress we want to see as we go forward. Lastly, I want to highlight one of our new partner additions. We welcomed amace to our OEM partner network in Q2, officially entering the India market. This relationship started with multiple -- with a multiple unit sale to fulfill internal R&D as well as our first joint customer. amace is a 3D Printing arm of Ace Micromatic Group, the largest machine tool conglomerate in India. Additionally, we have signed an agreement with Sentient Science to join our ISV network, a noted supplier of simulation software that applies material science and physics-based modeling to predict where is fatigue in the microstructure of critical components. This brings us to a total of 4 OEM partners, Additive Industries, DMG Mori, Aconity, amace and 3 ISV software partners in Materialise, AMFG, and Sentient Science. The continued addition of OEM and software partners is meaningful, and I will elaborate more on that shortly. Some closing notes. We need to go where the market is and where the market is going at scale. The adjustments to subscription options, more aggressive market positioning and alignment with product council members is beginning our transition to providing higher-margin software-only products in the near future. Lastly, OEM software partners and scaled to end users are our path to growth. Let me break down what we believe an average OEM could mean to our business over time based on a conservative product pricing model from Sigma. Before I do so, however, let me be clear that this is not intended to be guidance or revenue projection of any time, whether it is to demonstrate what we believe is the potential opportunity for an OEM relationship over time. From the signing of a deal with a newer OEM, there is about a 1- to 2-year period, in some cases, it could be a little longer depending on product -- their product life cycle, a conversion from a Sigma retrofit solution to an embedded or partner software solution. While we are aiming to reduce this conversion period by development of more quickly implementable software-only products. This, at least, provide some color on our current date. We believe that each OEM can deliver a conservative range of about $1 million in revenue over the first 3 years, while supporting less than 5% of their total installed base. By year 10, we believe that software-only revenue can exceed $13 million annually with an 80% to 90% margin software solution, while still only supporting about 1/3 of their installed base. That means higher installed base penetration can potentially generate further upside. Larger market penetration is at the heart of our product road map for our software-only solutions. As you can see here, each OEM partner we support with a solution can exponentially impact Sigma over both the short and long term. The whole additive market is available for this, metal OEMs, polymer OEMs and beyond. And the world is growing and suppliers at this point of those pieces of equipment. As mentioned in our last investor presentation, in metals alone, a 10% coverage of an installed printer market in 2025 could yield a $65 million annual reoccurring revenue. While even just a 3% coverage of the same installed base in 2025 could yield a $20 million annually recurring revenue. Open architecture, scalable machine process and part health solutions will enable us to set the standard for quality and give us the ability to go after the full additive industry. We look forward to tracking our progress with you going forward as we live our mission to be the quality standard for additive manufacturing. Thank you for your time. And I will now turn it over to the operator for Q&A.
Operator: [Operator Instructions] The first question is from Scott Buck from H.C. Wainright.
Scott Buck: Jacob, could you give us a sense of what subscription revenue was in the quarter of the 267?
Jacob Brunsberg: Yes. Frank, do you have that handy, here?
Frank Orzechowski: Yes. The subscription revenue was $14,000 in the second quarter and $20,000 year-to-date. So it's a start, but it's a good start and will continue to grow.
Scott Buck: Great. That's helpful. And then when we think about -- when we think about your backlog commentary, we should think of that as $240,000 in incremental revenue? Or does that include whatever subscription or recurring revenue kind of comes over from the first half of the year.
Jacob Brunsberg: Yes. It's a mix of both, Scott. And that was actually my follow-on question, as you start to see, we certainly have kind of the monthly recognizing of revenue of these subscription models. So overnight, that doesn't turn on to be a revolutionary monthly number, but what we are seeing is growth in that area. So that $240,000 and $30,000 reference there is a mix of both those contracts out in the future as well as items that are planned for the quarter, revenue items as well. So the mix of perpetual and subscription, so as we kind of produce that transition. So we're excited to have that mix of both, and that position headed into third quarter.
Scott Buck: Great. That's helpful. And then on gross margin, I thought the commentary you had there at the end was great. But how do you move from kind of teens where you are today to that 80%, 90%? I mean, what's the -- I guess, what's the first step, right, going from high teens to mid-20% to 30% range. I mean, what's the time line for something like that?
Jacob Brunsberg: Yes. I think the transition will continue through this year, certainly as those margin numbers start to move. I think in the short term, you see a little bit more of that because we have the hardware mix still in here in the short term. What we do have product launch plans for third quarter and fourth quarter that start to move to that software-only product. When that hardware is removed, there's a pretty quick move to a higher margin there because you just don't have the hard cost of goods. So it's not years, certainly, but there's going to be a transition period over the next couple of quarters.
Scott Buck: Okay. That's really helpful. And then last one for me. I'm just curious, are any of your OEM partners having significant supply chain issues? And to what extent does that impact your ability to work with them?
Jacob Brunsberg: Yes. I think everyone is fighting it on and off right now a little bit, especially if you look at semiconductor components and more of that side of things. We see it a little bit in our product. But I think generally speaking, it may have caused increased lead times a little bit for them, but from a growth perspective, the industry actually seemed to be tracking pretty well through the first couple of quarters here. So it may be pushing some deliveries a little bit, but we're still seeing positive movement there. So I think people are doing a pretty good job balancing that challenge right now, but it certainly is maybe shifting things a little bit from a timetable perspective.
Scott Buck: All right. Great. I appreciate the time, guys, and congrats on the progress.
Jacob Brunsberg: Thank you. Appreciate the questions.
Operator: The next question is from Troy Jensen from Lake Street Capital.
Troy Jensen: Gentlemen, I also like to say congrats on the progress on the new business model. A couple of quick questions. I start with Jacob here. Can you just talk about larger players in the additive space, you write it off a few names that I had known like DMG and Materialise, but it seems like there's a lot of kind of large OEM partners that should be candidates or partners of yours that aren't yet. So just curious to know if you're getting traction with some of these larger OEMs.
Jacob Brunsberg: Yes. I appreciate the question. So certainly, there -- from a market share perspective, there's a handful of 4 or 5 companies out there that own a pretty large stake of the additive market. I'm excited because we do have a deal signed with one of them that will be part of our upcoming product launches for software-only solutions, and we've made a ton of progress with a number of other -- of those OEMs to provide software solutions or potentially PrintRite3D ready, retrofit solutions to the marketplace. So I think in the upcoming quarters, third and fourth quarter, there certainly should be some movement there that's aligned with our product announcement and the software side of things.
Troy Jensen: Okay. And how about -- I always think of Sigma as more metal focused, right, pool monitoring or melt-pool monitoring. Thoughts on just kind of getting into polymers. It seems like they're a large installed base of polymer printers out there than there is in metal. I mean you pointed out that the small penetration of the metal guys will be a huge revenue contributor for you, but to expand the TAM a little bit and to move into polymers is that an option?
Jacob Brunsberg: 100%. So driving that actually is a major aerospace company for us. We're working with the tiered supply base to implement an enterprise solution for that right now. So as we look at the more holistic software offerings, I think they're extremely applicable to polymer, both polymer and metal. Especially with the API connections, we're getting to some of these larger OEMs in the near future. So I would expect us to be a little more vocal on the polymer side of things in the third quarter as we've gotten our foundation really kind of proven our first few systems in that market space, and can kind of more aggressively move that way with the software solutions that are coming out as well. And I think those are all very well tied together. And we certainly agree with the note that you said that the polymer market certainly opens up a longer established group that has some pretty significant scale to it.
Troy Jensen: Perfect. And then how about just -- have you guys talked about other software features that you guys could introduce. I mean when I think about software capabilities, I think about machine learning to make these machines more accurate, I think about MES software to make kind of production floors more productive. Have you highlighted at all? Can you talk about other directions you can take this software?
Jacob Brunsberg: Yes. I think we had a couple of big ones and there's another one here in ties to simulation as well and the comments I made on Sentient kind of joining our ISV network. So as we look at the expansion of the products we're working on the software side, the purpose of it is really to fill the missing link right now of holistic quality when it comes from everything going on in the machine. That, for me, is a huge missing link in the marketplace from machine health to all the camera imagery as well as the melt pool that we're very well known for. All of those things are incredibly synergistic and really help each other a full quality analytics package. So we're excited to get there. And that opens up the ability to really provide full solutions with MES partners for the full quality workflow and data pedigree as well as tied to simulation and design on the upfront side of things. So really, this move is opening up the door for us to take a little bigger footprint in the market and certainly better attached to partners as well to be a module within their own offering.
Troy Jensen: Great. Awesome. We look forward to hearing about these new partnerships in the second half, and I just wish you guys luck.
Jacob Brunsberg: Thank you. Appreciate the questions.
Operator: The next question is from Larry Holub from Holub Family Office.
Larry Holub: Jacob, you mentioned your product council. Could you elaborate a bit more on what that is and who makes that up?
Jacob Brunsberg: Yes. Thank you. Our product council is a group of companies from a variety of markets that are joining us to take our current solution as well as early access to all of our new software products and ensure we're completely aligned for creating a scalable enterprise solution that handles their quality needs and their organizations. And so we've taken them on and assign them program management, application support. And the goal is to create a 12- to 18-month program plan with each of them to go from our first "units" here to developing and executing on what is an enterprise scale solution for them in the quality space. And the companies that make this up are from industries you'd likely expect, there's certainly a heavy aerospace tilt to this, both in large-end user as well part provider to that space. We have some automotive-oriented additions and certainly look to grab a couple more in the medical world as we go forward. And so I'm not going to maybe tip my hand too much on the exact names that make that up, but I certainly would expect to see some of those probably in the next third quarter or early fourth quarter as part of some of our product launches as well.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Jacob Brunsberg for any closing remarks.
Jacob Brunsberg: Thank you, I'd like to just thank everybody for joining us today. I know we're seeing some progress here that really excites the management team of the business model resonating with the market. And what's most important to us is being close to our customers and ensuring our solutions are scalable and solving their needs and what they can feel is producible on their full enterprise-level suite from a multi-site perspective versus an individual machine. We'll continue to make progress, and we look forward to updating everybody as we do so. Again, thanks for joining, and we will talk to you all soon.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.